Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the d'Amico International Shipping Full Year 2023 Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be a Q&A session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Paolo d'Amico, Chairman and CEO. Please go ahead, sir.
Paolo d'Amico: Thank you. Hello, welcome to everybody. Good afternoon. Thank you for joining us - our call for the 2023 results. We go straight to the presentation. And I leave the floor to our CFO, Carlos Balestra di to start the job. Thank you, Carlos.
Carlos Balestra di Mottola: Thank you, Paolo, and good afternoon to everyone. As usual, we start with the slide here where we give a quick glance at our fleet composition, which is as at the end of the year was still composed of 36 vessels with the MRs representing the -- the large majority of these vessels, 24 and then in [indiscernible] handysize segments. As you -- some of you that follow us closely, probably saw we announced the sale of a vessel recently, the Glenda Melanie at a very strong price. So it was the oldest owned vessel in our fleet, 2010 built, and we sold it for $27.4 million. So our fleet has changed slightly since then. We also redelivered a vessel which was on time chartered- in, which was also a very old vessel, which we had on time chartered-in following a sale and time charter back deal many years ago. So we have an increasingly, I would say, modern fleet as we sell and we deliver some of our older vessels. And going on to the following slide, we show our CapEx commitments. And as we saw already in the previous presentation, the investments, the main investment last year was related to the exercise of the purchase option on the TC, sold High Explorer for around $29.8 million. We also had quite a lot of maintenance CapEx last year around $12 million. This figure goes slightly down for the following 2 years where it is pretty stable at around $9 million before decreases slightly in 2026. We don't have assets today, other investments planned, but we will talk later -- a bit more about that later. But there is a highlight that we will be exercising purchase options on other TC vessels going forward. Here, we show bank debt repayments. We have reimbursed at the end of last year, a few of our more expensive loans and therefore, our annual repayments have fallen for the next 2 years. It's around $27 million. We don't have any balloons [ph] to refinance before 2026. The daily bank debt repayments have been falling quite fast on the right-hand side, as we have exercised some vessels, which were previously bareboat chartered-in, and we have kept these debt free. And we were quite active in that respect last year. Going on to the following slide, here we show the vessels which were already exercised which was previously bareboat chartered-in. And as you see from the table on the left, there were five of these options exercised last year. And so we now only have three options that can be exercised. One could have been exercised in March this year, but we decided not to do so and to wait until next year, there's the next opportunity to exercise this option in September '25. It's effectively a purchase of deviation and therefore we will be exercising the option at that date. The reason we didn't exercise earlier is that the implicit cost of funds of this facility is very low, and it's better for us to keep it going. On the other two options, we plan to exercise them at the first opportunity. So the High Discovery in September '24 and High Fidelity in September '25. They are not particularly expensive deals, financing transactions. We were lucky to negotiate these transactions just before interest rates started moving up quite aggressively. So here, we have the time chartered-in vessels. I was referring to previously on the left hand side, those which were already exercised, on the right-hand side, those that we can still exercise and we are likely to be exercising two of these this year and the remaining two next year. So they are all well in the money. And given the current market conditions and the outlook for the market, it makes sense for us to exercise them early. So that's the plan. Going on to the following slide. Here we show our contract coverage and it's slightly higher this year than it was last year. The average rates for these contracts throughout the year, it's pretty stable at around $28,000 per day. And overall, we had 44% of our available vessel days in 24,000 [ph] higher percentage coverage. There is some background noise, somebody maybe left microphone open. 40% falling to 23% in Q4 '24. And then next year, we only have 30% of our available days covered. At the bottom of the slide, we show the percentage of our fleet, which is Eco, and this also has been steadily rising, and there's another step-up this year with the percentage of the fleet, which is Eco rising from 78% to 84% also because of the sale of the Glenda Melanie. Here, we show instead we gave some highlights of how we are performing in the first quarter of 2024. And I'm glad to say that the performance has been - that shouldn't be surprising given the market has been very strong in our performance. Therefore, also, we -- on the spot market, we achieved an average rate of over 38,250 on the days already fixed, which represents 53% of the available days in the quarter. We have another 40% of our available days in the quarter, which are fixed through time charter contracts at an average rate of 28,150 which gives us a blended rate of almost 34,000 or 94% of the available days in the quarter. So it's -- we have a very good visibility of our earnings in the Q1 of this year, and it's looking very good and stronger than Q1 last year. So it's a very good start of the year for us. And going on to the following slide. Here we give a - let me show you some graphs which give an idea of what our results could look like this year, and in the following 2 years. On the bottom left, we show the profits on the days which are already fixed, both time charter and spot, which means that if -- on the remaining 3 days, we want to break even our profits for the year 2024 would be of around $93 million already, which is already a very strong result only after only 2 months and half into the year. But if we instead were to fix the remaining 3 days at an average rate of $25,000 per day, our profit for the year would be of around $152 million, if we were to fix these remaining 3 days of $30,000 per day on average, our profits for the year would be of $184 million. So it looks as though 2024 is also going to be a very strong year for us. And going on to the cost front as we have seen in our previous quarterly presentations, and as was widely expected there was quite a sharp increase in costs this year. We were not the only sector who has experienced this inflationary refresher. I would say that the inflationary pressure was present pretty much across the board for all major cost items, but it was particularly pronounced for crew cost also because of a lower availability of Ukrainian crew. Also on our vessels we have a number of Ukrainian officers in particular. And therefore, that was one of the factors which contributed to this increase in crew costs. But we also saw -- we also saw quite a big increase in insurance costs as we had to ensure our vessels at higher levels to reflect the increase in their volumes over the last few years. On the G&A front, there was a sharp increase this year, which has made to the -- mostly to the increase in variable compensation, reflecting the strong performance of the company in 2022 and even more so in 2023. So it is linked to the long-term incentive plan and short-term compensation for targets, which were reached. And of course, this additional compensation would largely disappear if markets for some reason, were to weaken. Going on to the following slide. We show here our leverage situation, which has improved markedly. At the end of '19, the ratio between the net financial position and fleet market value was at 73% at the end of last year, end of '22, it was at 36% and at the end of '23 it had fallen to 18%. And so we have -- we have today a very strong balance sheet. Our cash and cash equivalents at the end of the year were at $111 million, but since then it has already increased quite a bit because of the very strong performance in the first quarter this year. And going on to the following page, we show here the key line items of the P&L. Q4 was not our strongest quarter, I would say. But still, we managed to achieve a profit of almost $44 million. Trading was a bit weaker, especially in the first part of the quarter, but then I would say, second half of November and December, as is usually the case was quite strong. And thanks to this result in Q4, we were able to achieve an overall profit for the year of $192 million, which excluding nonrecurring items, is of almost $197 million. And then on to the following slide, we show here that the daily results for our vessels employed on the spot market and on time charter contracts. And we see that Q1 was the strongest quarter of the year, 36,650, which, as I previously mentioned, is lower than the average rate we have achieved so far on the spot market in Q1 this year. The remaining quarters, the results we achieved were pretty stable on the spot market actually despite quite a lot of volatility during the year at high levels, but we averaged almost the same in Q1 in Q2 and Q3, around 31,750 million and then 31,000 in Q4 for a blended for an average for the year of 32,900 on the spot market, which coupled with our coverage at an average rate of 28,100 led to a blended rate for the year of 31,450. And now I pass it over to Paolo for the market overview.
Paolo d'Amico: Thank you, Carlos. So basically, since the invasion the crane, freight rates and value and ship value went on increase quite a lot. And probably freight increased faster than the values of ship. But I have to say, as we talk today, probably also value are gone really to an high level. And I think the price we achieved on our Glenda ship, which is a 14-year-old ship at 27.4% is the proof of it. But looking at the market, it is, we have, on top of some positive fundamentals that the tanker industry had before we have three elements of disruptions, which improved, of course, the earnings. The first one is the obvious one is the Russian and Ukraine war. Due to that, as you know, Europe sanctioned at the Russian exports since February 2023. So Russian, I remember you that Russia is of course the first supplier of diesel oil to Europe, and Europe is the biggest market of diesel in the world. Now Russia is a few days steaming from Europe, stopping supply - stopping with supply from Russia, Europe had to resupply itself by far away, like Middle East, Far East some ways, and even in United States. This already increased the ton mile a lot. In the meantime, Russian export had to go to India, to China to Turkey. Okay, this has not been affect because this trade is affecting, let's say, our market only as far as the price cut. Of course, it's outside the price cut, is nothing, which is touching us. So this is the first trade disruption that you know very well. The second one has been the Red Sea situation due to it, all the reputable owners are avoiding the Red Sea and the Suisse Canal. We are moving south of Africa. This means 14 days longer trips. This means another ton mile increase. I would say the result of this are becoming more and more - becoming stronger and stronger than what we was forecasting. So it is a bigger, let's say, effect of what we thought. And the third one is the Panama Canal. As you know, the Panama Canal for an environmental reason, which means lack of water, basically, had to live with the transit slots. So less and less ships are passing through. Now probably we are going to increase again. But up to now, the effect that we had here is that all the West Coast of the American continent, so from Canada down west coast, so all way down to Chile, they had to supply themselves from the Far East. So we have more and more trips out of the Far East, Korea, Japan, China, Singapore to the West Coast of the United States to Peru to Chile. And this, as you can imagine, are by far longer trips and here again, the ton mile element start growing. On the demand of oil. The world increased. The global oil demand increased by 2.3 million barrels in the full year '23 to 101.8 million barrels per day. The IEA expects global demand to grow by a further million - million point two for the full year '24. And the global refining throughput increased by 1.5 million barrels per day in 2023 with probably another 1 million coming in, in 2024. On the supply side, even if we have the cuts from OPEC plus, the oil producer outside OPEC have been increasing their production on the United States 22 to 3, increased by 1 million barrels, and they are supposed to increase this year by another 0.5 million and offsetting basically the cut at OPEC enforced, the refined product inventories are at the lowest level over the 5 years average. So we must expect an increase in resupply. The middle these little cracks are high level due to oil demand. So we can expect a lot. And here again, we go back a lot to the diesel trade, which is the biggest one of all the oil products trade. Naphtha and diesel will lead the demand in 2024. The demand was - the leader, last year was more jet fuel. Jet fuel this year is probably going to have a stop because the airplane manufacturers cannot deliver planes the way they should. So the airlines are probably going to cancel a lot of flights. You know very well about the problems that are affecting today. The crude tanker market is very well supported, for us is important because we have the LR2 segment, which is a sweet wing [ph] segment from crude to clean. We've accrued market, strong market. Ships tend to stay if they are already dirty, they tend to stay in the dirty trade. The long-term demand is healthy. The share of products in Seaborne refined - into a Seaborne oil trade is 25%, and it stays there. The growth of refining capacity worldwide is out placed because it is all concentrated in Middle East, in India and China, so far away from consuming market. U.S. sale is still growing even if this year its forecast is going to grow at less speed than last year. So on the demand side, we have a lot of elements of positive elements for our industry. But if we look to the supply side, we see that, first of all, the number of forces that will push inefficient and old ships to demolition because even if it's only limited to Europe, we have all the various indexes coming in force. And on top of that we have a European emission trading system. This year is still free of charge. We start paying this year. And going up is going to become -- it's going to be the most expensive cost of the old voyage costs, more than even bankers. Going on the candidates for demolition, looking at demolition from 20 years of age going onwards, they are increasing a lot. The deliveries in the coming months are very low and will stay at this level for quite a while. We are going to have some deliveries next year, but nothing is marginal against the overall picture. The newbuilding orders arising, but they are still limited, as I said, also because they are expensive and people are worried about the technology to be used on new ships. And also the deliveries are very much in the future, because today we are not talking about anything earlier than 2027. So the fleet - the final result is a very slow and limited fleet growth. So if we had this supply picture to the demand picture that we have been talking before, of course, things, they look quite positive for the industry itself. Thank you. Carlos, if you want to...
Carlos Balestra di Mottola: As usual here, we have our last slide with which we end our presentation, where we look at our NAV, and once again it has risen since our last update. And we are now at the end of the year, we were at $993 million and on a per share basis in dollars we were at 8.23 NAV per share. And so we are still trading at quite a big discounts to our NAV. And of course, with the results that we have been achieving in the first quarter this year, we expect our NAV to have risen further. So I think that's basically it in terms of our presentation, and we pass it over to you for the Q&A session.
Operator: This is the Chorus Call conference operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Matteo Bonizzoni of Kepler. Please go ahead.
Matteo Bonizzoni: Yes, thank you. Good afternoon. I have three questions. The first question is regarding the size of your fleet and also the age of your fleet. So if you go back 5 years, in 2018, your fleet was more than 50 vessels. Now it's 36, is going down to 31 by 2026. So all in all, this means around a 40% decline of the size of your ship. At the same time, the age of your ship is still younger because it's 8.5 year and it's predominantly composed of Eco vessel. But let's say that it is going to be gradually up. So my question is, what is your approach to capital allocation in relation to rejuvenation of your fleet and potential expansion? Are you ready to consider that? Or maybe you have said that it's too expensive to build fleets, there is a technological uncertainty so you are still going to remain on hold on this capital allocation and CapEx decisions for the next quarter. This is the first question. The second question regards the coverage strategy, which you have. You have increased the coverage for 2024 to more than 30%. But 2025, for example, which is still far away is only 13%, I think so, so still low. The question is, are you in a hurry, let's say, are you willing to significantly increase the level of your coverage given that the rates continue to be very healthy and maybe there could be opportunity to do so at good condition or you are going to proceed to go ahead slowly in that direction. The third and last question relates to evolution of your cost base. We have seen in 2023, an increase, I would say, for the G&A cost, pretty significant. I think it's mostly related to the variable remuneration, if you can a little bit elaborate on that. But also on the operating costs, we have seen an increase for the reasons which we have also explained, what's the outlook for operating costs and G&A costs for 2024? Thanks.
Paolo d'Amico: I pick up the first one, and I'll leave the second and the third to Carlos. We realized very much the evolution of the fleet is a discussion that Carlos and myself, we have basically on a daily basis. And we are looking at whatever opportunities are around. Of course, today, it's easier, let's put it this way. Today, it's easier to be a seller than to be a buyer. So when we have the opportunity to sell the Glenda vessels, we did so because it was a number which to my experience is quite unique. Of course, we are looking for a replacement of that Glenda ship. Now you can't do everything in the same manner. So we have to look around what are possible candidates and see if it's today the month to move on or not. At the same time, we are looking, of course, to shipyards. As I said, we have one -- we have two elements. One, yes, they are expensive, but in the overall picture of a fleet of 36 plus ships, you can afford also more expensive, let's say choice. Technological is a limit. Personally, we think that there is still space for at least one generation of new ships, traditionally built, and with traditional engines. Of course, traditional engine doesn't mean that we go back to the old heavy fuels. It means that probably we are going to burn more and more biofuels. We are going to have to implement less and less consumption systems. So we are going to use. The thing is, I don't think nobody is really ready to jump from the fuel system to ammonia or God knows what. You will see a lot of announcement on the press of ammonia ready or methanol ready or whatever. Yes, ready is a failure - ship which really runs on methanol, excluding few container vessels. They do not really exist. So we look to newbuilding and we are trying to understand what is the best opportunity for the company and of course, we are looking also for replacement of what we are selling. I leave to Carlos Balestra.
Carlos Balestra di Mottola: Yeah, thanks for the questions. In relation to the coverage strategy, it is true that there are currently attractive opportunities to take even more coverage than we have done so far. And we have now, as I mentioned, around 34% of our 2024 available days covered at an average rate of 28,000. The good news here is that we have covered mostly our handysize. So we -- relative to last year, we have a higher proportion of our fleet, which is exposed to the spot market. And this was an intentional strategy by us because we -- given the tightness of the market we are experiencing today. At the time we approach renewal of these contracts, we felt that the levels at which we could have renewed some of our TC contracts for LR1s who are not attracted enough and did not reflect probably the market fundamentals. I would say that so far this year, the strategy has proven right. It's a bit early to be sure that we made the right decision in this respect, but we have seen a strong outperformance by the other ones in the first few months of this year. And that also explains the very strong result -- average results on the spot market we have achieved so far. And hopefully, that will support our earnings going forward for the rest of this year. We do have the charters reaching out to us that want to take pesos on time charter and sometimes at very attractive rates. We are open to evaluating opportunities as they arise, but we are also quite happy today with the coverage we have. And given the very strong outlook for the market, we are happy with the cost exposure we have, and we think we're going to do very well in the spot market this year. On the G&A front and on the cost front in general, the OpEx side, we do not expect costs to increase. Market leaders here, we expect a more generalized increase in costs of around, I would say 2% to 3% in direct operating costs. On the G&A front, instead since a lot of increase last year was linked to the very strong results achieved last year. I would say that the -- if we do confirm this year the same strong results we achieved last year, the G&A was probably the same, at more or less the same level. But of course, if results was slightly weaker, possibly the G&A could actually be lower this year than it was last year. So that is the -- I hope that answers your question.
Matteo Bonizzoni: Yes, thank you very much.
Operator: [Operator Instructions] The next question, sorry, is from Michele Mombelli [ph] of EQUITA SIM. Please go ahead.
Unidentified Analyst: Hey. Hello. Thanks for the presentation. I wanted to ask you something related to the remuneration on top of the dividend. Maybe if you're thinking of something related to the buyback in 2024, if you thought about something related to that. I mean, that's mainly my question. Thanks a lot.
Carlos Balestra di Mottola: Yes, thank you for the question, Michele. I think that what we referred to, I think we didn't cover this in our presentation. But of course, it's an important point. There was a proposed dividend by the Board to be approved by the AGM of $30 million [ph] which is higher than the proposed dividend last year of the approved -- finally approved dividend last year, which was $22 million. Last year, we also paid an interim dividend at the end of the year of $20 million. So what we have been mentioning to the market is okay, although we don't have a dividend -- explicit dividend policy our intention is to distribute a higher proportion of our earnings as we deleverage our balance sheet. So now that we have achieved more or less what were our objectives in terms of deleveraging, the company is happy to reward increase, let's say, the cash returns to its shareholders. Last year, we were quite active on the buyback front. We bought back shares worth €6.4 million. We were active, especially when the share price was - showed some weakness, which we felt was not justified when we saw that there was really an opportunity to make a good investment on that front. We think our shares are still a very good investment. But the reason we have slowed down more recently stopped on the share buyback front, is mostly linked to the liquidity of our shares. Now the controlling shareholder already has a big participation in the company. And we also have quite a few shares which were repurchased. And therefore, this -- the free float is not that important, and we don't want it to fall further. And -- but nonetheless, we are open to pursuing further repurchases, and we have a mandate that allows us to repurchase. We have an authorization, which allows us to repurchase up to 15% of the shares issued. And therefore, there is a lot of room for us to do more in that respect. So if the share price were to show some weakness again this year at a certain point, which we feel is not justified. It very likely we will be intervening to support the share price through repurchases. And as I mentioned on the dividend front, the expectation is that this year, if the market -- if we do as well as we did last year, we should be distributing more dividends than we distributed last year. And we are starting already now with this proposed dividend, which is already quite a bit higher than that, which we approved in April last year.
Unidentified Analyst: Thank you. Thanks a lot.
Operator: The next question is from Climent Molins of Value Investor's Edge. Please go ahead.
Climent Molins: Good morning. Thank you for taking my questions. I wanted to follow up on the question on the dividend. Including the distribution declared today, you ended up distributing around 30% of 2023 annual net income via above dividends and repurchases. And by your latest commentary, it seems additional dividends that we expect going forward. Is it fair to expect an increase in the percentual payout as well?
Carlos Balestra di Mottola: An increase, sorry, can you please repeat in the...
Climent Molins: Yes. Sorry about that. In the percentual payout?
Carlos Balestra di Mottola: Either percentage? Yes, I would say so. So I think that's correct. I would say that if we do -- the idea is that as we deleverage, we can pay out a higher percentage of our profits. Of course, we don't have - also one of the reasons we don't have an explicit dividend policies because we want to be able to also move opportunistically as opportunities arise. And there was also a question today relating to capital allocation and to the fact that our fleet has fallen quite a bit since 2018. And therefore, at a certain point, yes, we will look to make more investments probably not major investments, as Paolo was saying at this point in the cycle, but some opportunistic investments to at least ensure that our fleet doesn't decrease any further from where it is today, let's say, in the table. And therefore, we will - the dividends that we will end up distributing would also have to factor in these other capital allocation priorities that we have.
Climent Molins: Makes sense. Thanks for the color. Thank you for taking my questions and congratulations for the quarter.
Carlos Balestra di Mottola: Thank you.
Operator: The next question is from Daniele Alibrandi of Stifel. Please go ahead.
Daniele Alibrandi: Yes. Good afternoon. Thanks for taking my question. Actually, they were already taken. So just maybe an update, if you can, on the order book of the newbuild ships. If you can highlight when most of the ships will come out, will come to kick in into the market? And I understood that it was in late 2025. But just an update on this. Thank you.
Carlos Balestra di Mottola: Sorry, the question is relating to the order book, Daniele?
Daniele Alibrandi: Yes, exactly. And the general order book and when do you expect, if you have more visibility when the new -- I mean, new ships will come to the market, I understood late 2025, beginning of 2026. But just to understand if you're seeing a pickup or what's the situation there?
Carlos Balestra di Mottola: Yes. I would like to -- maybe we can go back to a few slides of the presentation, which I think helpful in answering this question. On -- here, I think the slide here is, I think, quite helpful. I mean we see here that the order book, yes, it did increase relative to the end of 2022, where we were at a record low of 3.5% in the segments we operate in. It's now at 7.7%. Now what happened is that the fleet continued aging in the meantime. So at the end of '22, we had 7.2% of the fleet, which was more than 20 years old. But now January '24, we have 10.8% of the fleet, which is more than 20 years. So the gap between the percentage of fleet it was more than 20 years in the order book was like 3.7% at the end of '22. And now it's at 3.1%. So it's pretty stable despite the order book having more than double, this gap is pretty stable, which means that we don't expect - we expect very limited fleet growth going forward. I think the graph at the bottom, I think, is also quite interesting. This is a bit longer term because we look at potential demolitions here from '25. So we're looking at vessels which turned 25 years of age from 2025. And we see that there is this sharp increase starting from 2027 in the vessels turning 25 years of age. Now product tankers can and occasionally do trade beyond 25 years of age. They rarely trade beyond 27.5. After the 15 years of age, they have to stop every 2.5 years for special surveys. So they usually surround those dates that you see demolitions. It's either when the vessels reach in a very bad market, it's when they reach their special survey around 22.5 years, or an average market around 25. In a very good market, occasionally some vessels, if they have been well kept, can reach 27.5. But also, given the regulations we referred to previously, unless we are in an exceptionally strong market, as we are today, where we are seeing very little being demolished, we expect that most likely, as these vessels reach 25, a lot of them will be demolished. And so we will have this very sharp increase in demolitions. Now, if you look at the slide, you have 5.2 million deadweight tons in 2028, for example, which are going to be reaching 25 years of age. And in 2029, you have 7.7 million deadweight tons. So these are very big figures. And if you look at here, the deliveries, this chart here, you show the fleet growth over 24 and 25. So in 25, you have 4 million deadweight tons, which is being delivered. So it's much more than 2024, but it's 4 million deadweight tons. It's less than the vessels turning 25 in 2028, and it's much less than the vessels turning 25 in 2029. So it is going to be very difficult for the yards, in our opinion, to deliver enough vessels to compensate for the vessels that will need to be demolished over the coming years. The fleet growth in the sectors we operate in and 25 is, we estimate a small pickup in demolition in 25, because of the very limited demolition we have seen over the last 2 years, but still at quite low levels, and that would translate to a fleet growth of around 1.5%. Okay, we don't have LR tools here. We are not present in that sector. It's true that if you look at the LR2 order book, it's more important than in the other sectors of the product tanker, of the product tankers. But it's also true that the LR tools are a bit of a different animal, because they compete a lot with the Aframax, generally, where the order book is much more limited, because they switch between dirty and clean trades. And if you look at the order book for the crude tanker fleet, it's at a very low level. Overall, it's at 4.6%. So it's still very close to the historical minimum reached at the end of 2023. So I think that the supply picture is very good. And as Paolo was saying, if you order vessels today, it's for delivery at maybe there are some yards you can still deliver, end of '26, but in most cases, it's 2027, and possibly even the end of 2027. So the deliveries - this order book, which is already not particularly big, is actually going to be delivered over many years. And therefore fleet growth should be really very limited. And we could even go, I think, from 2028 onwards into a fleet contraction mode, because yard capacity is unlikely to increase significantly. It actually fell quite a bit over the last few years, after many bad years for yards where they were losing a lot of money. And therefore, we don't think that they are going to now change their mind and start increasing capacity quite fast. It's not going to be an easy decision for them to revert to now go back to increasing capacity.
Daniele Alibrandi: Understood. Thank you very much.
Operator: The next question is from Tin Hang Tang. Please go ahead.
Unidentified Analyst: Just a follow-up on the questions regarding dividends. I would like to know whether we should expect any quarterly dividends going forward or whether the dividends will continue to be declared on a semi-annual basis? Thank you.
Carlos Balestra di Mottola: No, we don't -- we look at this possibility because some of our investors, particularly in the U.S. they would prefer to receive dividends on a quarterly basis, and they are used to seeing, in some cases, dividends on a quarterly basis. But we are not contemplating this possibility, but we will be distributing dividends twice yearly. That's our plan. So dividends, the annual dividends that we distribute in April, around the end of April, following the approval by the AGM, and an interim dividend, usually distributed around November, end of November, like we did last year.
Unidentified Analyst: Understood. Thank you.
Operator: [Operator Instructions] Gentlemen, there are no more questions registered at this time. Back to you for any closing remarks.
Paolo d'Amico: Okay. Thank you for joining us at this call, and I hope to hear you at our next call in few months. Thank you very much.
Carlos Balestra di Mottola: Thank you.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your devices. Thank you.